Operator: Good morning and welcome to NetSol Technologies Fiscal Third Quarter 2021 Earnings Conference Call. On the call today are; Najeeb Ghauri, Chairman and Chief Executive Officer; Naeem Ghauri, President of NetSol Technologies, Inc. and Otoz' Chief Executive Officer; Roger Almond, Chief Financial Officer; and Patti McGlasson, General Counsel. I would now like to turn the call over to Patti McGlasson, who will provide the necessary cautions regarding the forward-looking statements made by management during this call. Please proceed.
Patti McGlasson: Good morning, everyone. And thank you for joining us. Following a review of the company's business highlights and financial results, we will open the call for questions. I'll now provide the necessary cautions regarding the forward-looking statements made by management during this call. Please note that all the information discussed on today's call is covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act. The company's discussion may include forward-looking statements reflecting management's current forecast of certain aspects of the company's future, and our actual results could differ materially from those stated or implied. These forward-looking statements are qualified by the cautionary statements contained in NetSol's press releases and SEC filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q. I would also like to point out that we will be discussing certain non-GAAP measures. The press release issued earlier today contains a reconciliation of these non-GAAP financial results to their most comparable GAAP measures. Finally, I would like to remind everyone that this call will be recorded and made available for replay on our website at www.netsoltech.com and via link available in today's press release. Now, I'd like to turn the call over to Najeeb. Najeeb?
Najeeb Ghauri: Thank you, Patty and good morning, everyone. I have the pleasure of addressing you all today from our NetSol US office in Calabasas, California, where the statewide vaccine rollout is operating at full steam. We are fortunate to have begun a phased return to the office in NetSol US, China and European offices. Although we're still working at a reduced capacity, we are well on the way to reenergizing NetSol's collaborative culture. And I'm looking forward to seeing many of our valued team members whom I've missed over the last year plus period. I would be remiss if I neglected to comment on the state of our Pakistan office, which as you know houses our implementation and development teams. Out of an abundance of caution and to mitigate transition from our neighboring countries, law has entered into a temporary lockdown. Thankfully, our remote work architecture, which has supported our engineers throughout the pandemic is still in place and has left productivity unchanged on the back end. Getting to our results for the fiscal third quarter from the financial perspective, we recorded a sequential revenue increase for the third straight quarter, which was driven in large part by a meaningful year-over-year increase in SaaS and Cloud revenues. We also generated over $1 million during the period by successfully implementing change requests from various customers across multiple regions. These changes requests, why less predictable, underscore our ability to handle remote implementations, as well as our industry's overall shift to more complex bespoke next generation tools and technologies. During the period, we generated most of our new revenues from implementations and contract renewals within our APAC region. But we've also seen a significant increase in our pipeline of opportunities within the North America and European markets, which have collectively passed our APAC pipeline for the first time in our history. We see this data point as validation of our companywide initiative focused on entering a newer, high growth markets. As part of our expansion efforts in North America, we took another key step this quarter with our appointment of James Freto at NetSol Technologies, America's new Vice President of Sales; James, along with our Executive Vice President, Peter Minshall, home be appointed last year and will be focused on driving additional growth in the Americas and establishing inroads with key partners in the region. James joined us with a long career of sales and customer relationship management spending many years in sales at a renowned Fortune 500 financial product company. Please join me and the rest of the NetSol team in welcoming James to the organization. Looking ahead, we are working to assess the pandemic's lingering effects on the leasing and financing industry, which will help guide our cash allocation strategy in the coming years. With the record cash position, we are looking at a number of high value projects and initiatives that we will believe will help drive growth in our core business and help scale our subsidiaries. The pandemic has made it clear that all businesses need to have a sound digital strategy. And we are confident that we will benefit from this transition as customers continue to transform processes and future proof to their businesses. With that all, I will now hand the call over to our CFO, Roger Almond, who will walk us through the financial results for the quarter. After that NetSol's President, Naeem Ghauri will provide an operational update and outlook before turning the call for questions. Roger, please.
Roger Almond: Thanks, Najeeb. Turning to our fiscal third quarter 2021 financial results for the period ended March 31st, our total net revenues for the third quarter were $13.8 million, compared to $13.5 million in the prior year period. The increase in total net revenues was primarily driven by an increase in total license fees of $2 million and an increase in total subscription and support revenues of $521,000, which offset the decrease in total services revenues of $2.3 million. Total license fees in Q3 were $2.1 million compared to $93,000 in the prior year period. The increase in license fees is primarily driven by approximately $2.1 million related to a license agreement with an existing tier-one finance company in Thailand for our CAP and CMS solutions. As a reminder, subscription and support revenues are now included as a separate revenue line item in place of what was formerly referred to as maintenance revenues. In addition to traditional maintenance revenues from post-contract customer support, this metric also includes subscription revenues from our software-as-a-service or SaaS offerings, including the cloud-based version of our flagship NFS Ascent platform. Subscription and support fees are recurring in nature and we anticipate these fees to gradually increase as we implement both our NFS legacy products and NFS Ascent. As we continue to grow recurring revenue over time, we believe this new category will become a more impactful portion of our business as well as a better way to judge our overall performance. Results for the prior year period have been adjusted to make performance comparable on a year-over-year basis. Total subscription and support fees in Q3 were $5.7 million, compared to $5.2 million in the prior year period. The increase in subscription and support revenues was due to the start of new agreements from customers who went live with our product this quarter as well as ongoing recurring revenue derived from prior sales of our subscription-based offerings. Total services revenues for the quarter were $6 million, compared to $8.3 million in the prior year period. The decrease in total services revenue for the year was primarily due to a decrease in implementation revenue associated with customers who have gone live with our products. Services revenues derived from services provided to both current customers as well as services provided to new customers is part of the implementation process. Total cost of revenues was $7.4 million for the third quarter, a decrease of $150,000 from $7.5 million in the third quarter 2020. A decrease in cost of revenues for the quarter was predominantly driven by a decrease in travel expenses due to the travel restrictions associated with the COVID-19 pandemic. Gross profit for the third quarter fiscal 2021 was $6.4 million or 46.6% in net revenues compared to $6 million or 44.5% of net revenues in the third quarter of fiscal 2020. The increases in gross profit and gross profit as a percentage of revenue were primarily due to a decrease in cost of sales of $150,000 and a decrease in travel expenses of $901,000 which is offset an increase in salaries and consultant fees of $522,000. Operating expenses for the third quarter decreased 6.8% to $6 million or 43.3% of sales from $6.4 million or 47.3% of sales in the same period last year. The decrease in operating expenses was primarily due to decreases in the general administrative expenses and research and development costs. Turning to our profitability metrics, income from operations was $462,000 for the third quarter compared to a loss from operations of $376,000 in Q3 last year. Our GAAP net loss attributable to NetSol for the third quarter fiscal 2021 totaled $623,000 or $0.05 per diluted share. This compares with GAAP net income of $1 million or $0.09 per diluted share in the third quarter of last year. As I mentioned on previous calls, it's important to point out that included in our net income this quarter, was a loss of $1.8 million on foreign currency exchange transactions compared to gain of $1.8 million in Q3 of last year. Because we operate in several geographical regions, a significant portion of our business is conducted in currencies other than the US dollar. A decrease in the value of the US dollar compared to foreign currency exchange rate generally has an effect of increasing our revenues, but it also increases our expenses denominated in currencies other than the US dollar. Similarly, as the US dollar gains strength relative to foreign currency exchange rates, it tends to reduce our revenues, but it also reduces our expenses denominated in currencies other than the US dollar. Moving to our non-GAAP metrics. Non-GAAP adjusted EBITDA for the third quarter fiscal 2021 totaled $197,000 or $0.02 per diluted share, compared with non-GAAP adjusted EBITDA of $1.8 million or $0.15 per diluted share in the third quarter of last year. Please see the reconciliation schedules contained in our earnings releases for our revised calculations of adjusted EBITDA for the fiscal third quarter ended March 31st, 2020. Turning to our balance sheet. At the quarter end, we had cash and cash equivalents of approximately $30.6 million or approximately 2.7 per diluted common share, which is up from $20.2 million or $1.71 per diluted share at June 30, 2020. One final note before I hand the call over to Naeem. On July 30, 2020, NetSol's Board of Directors approved a stock repurchase program that authorized potential repurchases of up to $2 million of its common stock over a six-month period. After the expiry of the original program, the company's Board of Directors approved an extension of the repurchase program through June 28, 2021. Under the program, the company may repurchase its common stock in the open market from time-to-time, in amounts, at prices, and at such times as the company deems appropriate, subject to market conditions and federal law - federal and state laws governing such transactions. NetSol expected to fund the repurchase with its existing cash balance and cash generated from operations. Till March 31st, 2021, the company purchased 603,688 shares of its common stock at an aggregate value of $2,064,799. That concludes my prepared remarks. I'll now turn the call over to Naeem to provide an update on our operations. Naeem?
Naeem Ghauri: Thank you, Roger. Good morning. I'm looking forward to providing you with an update on a few key initiatives underway at NetSol as well as Otoz. From a high level, I'd like to outline the fundamental components of our growth strategy. First, we have a continued focus on organic growth within the core business. With the addition of key staff like James Freto in April, and Peter Minshall in last August, we are fulfilling our key senior leadership solutions in regions where we see unpenetrated market potential. We recorded encouraging early traction in North America, with several key wins for our subscription offering. Most recently, this quarter, we went live with the leasing division of a mid-sized regional bank in the US with our SaaS LeasePak solution. In APAC and elsewhere, we're continuing to secure implementation and renewal contract with new and existing customers. Most notably, in April, we signed a five-year single-digit multimillion dollar renewal of an existing agreement with a Japanese tier-one automotive customer in Thailand. As part of their agreement, will continue to license key components of our NFS Ascent retail platform, including the platform's Credit Application Processing system, and the Contract Management System. Our core business and the underlying technology assets that drive it have not changed. What has changed, though, are the underlying industry dynamics. We're finding new ways to future proof our business and adapt to a next generation digital strategy. And one of those is by accelerating our transition to the cloud. A moment ago, Roger reminded you that we have reclassified our revenues so that we can support subscription and support revenues as a proxy for total recurring revenues. As we layer on maintenance fees through larger traditional enterprise contracts, an increase of SaaS-based footprint, we expect to build this base over time, which provides more predictable revenues with a more attractive margin profile. In Q3, subscription and support revenues reached $5.7 million, which is a 10% increase over the prior year, and importantly, a $32 million-plus run rate projected over the next 12 months. With each new customer we sign, we add to our recurring revenue base, which drives both the top and the bottom line. Moving on to the second component of our strategy, we are innovating in new areas, and looking to create partnerships where technology and personnel can be a major benefit to other organizations as of our own. To this end, I'd like to take some time to provide a brief update on our progress within the Otoz Innovation Lab. Last month, we announced a plan launch of a new automotive retail platform through Otoz subsidiary for a tier-one US automotive OEM. Since that time, we have been hard at work. The new platform enables automotive companies to provide consumers with a complete end-to-end digital shopping experience. Ultimately, our goal is to deliver a best-in-class solution to a fully digitized and normally cumbersome process of buying at a dealer and replacing it with a seamless app-based experience. Otoz will be launching the platform with its first kind in this calendar year second quarter. Beginning in California, the solution is intended to be rolled out to over 100 dealerships across all 50 states. When complete, we will be the first provider in the market to scale a tier-one automotive company across all 50 US states. Moreover, this product is a door opener for Otoz to penetrate the rapidly growing digital mobility platform movement. Based on the sizeable prospect pipeline we have today, we are well on track to continue to grow the Otoz client as by at least another few tier-one mobility customers over the next 12 months. Our mission is no less than to be an early leader in this fast-evolving space. Digital will be the go-to channel for auto sales, and we are setting the benchmark for its adoption through cutting-edge technology and by building compelling customer journeys. I look forward to sharing more updates on this exciting new journey for NetSol in the US. The final component of our strategy is exploring inorganic growth opportunities, where it makes sense. On this note, I can share that we are continuing to evaluate opportunities in the marketplace that are highly accretive and complementary to our business. With this overview completed, I will get into our operational updates from this quarter. Starting in APAC with our previously announced 12-country, $110 million contract with a German auto manufacturing giant, Daimler Financial Services we continued to make considerable progress along our multi-year and multi-country implementation roadmap. This quarter, we made key progress towards going live with the CMS module in New Zealand, which is nearing completion. In New Zealand, we have already implemented our wholesale finance and dealer and auditor access solutions, which have already elicited positive feedback. Today, we are live in 10 of the 12 countries and are making progress on the remaining deliverables in accordance with our customer timelines. As I mentioned briefly earlier, we recently announced a renewal of the Japanese automotive, tier-one in Thailand. This customer has long been a market leader in financing and leasing for commercial vehicles and pickups and we are looking forward to continuing building this relationship, both within Thailand and abroad in the coming years. We expect that this contract will generate in the single-digit millions of dollars throughout its five-year lifespan. Moving next to our European operations or NTE. Europe and North America are perhaps the most exciting new growth areas for NetSol. We are strategically marketing our Cloud and SaaS-based offering, specifically in these regions, which are contributing to the growing subscription and support revenue stream noted earlier. At this time, we are continuing to work through fund implementations remain on schedule. Finishing with our North American operations or NTA. As I mentioned earlier regarding Otoz announcements, office launch of our US digital retail platform in partnership with an automotive tier-one, we are slowly but surely expanding our geographic presence throughout the US and would use these early wins to funnel new business into the pipeline. Additionally, with the regional rollout of NFS Ascent this past year, we have a superior and [technical difficulty] product offering that meets the needs of today's market. In summary, we're welcoming the return to normalcy that we're starting to see around the globe, and developing comprehensive strategies to target high value customers in key geographies and in new formats. We are being conservative in our cost structures, managing the business as owners and well opportunistic which help to deploy additional resources to high value areas such as our Otoz Innovation Lab. In the coming months, we will look into accelerate progress within our core initiatives, namely driving more consistent top line growth through an increased focus on high margin SaaS opportunities which should also lead to sustained profitability. We remain optimistic for the near-term recovery, and even more bullish on the years ahead. And with that, we can open the call for questions. Operator?
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions]
Najeeb Ghauri: So, Tom. What do you think? Shall we continue to wait?
Operator: Just one more prompt here. [Operator Instructions]
Najeeb Ghauri: Okay. [Technical difficulty] Is there any question coming?
Operator: No. This concludes our Q&A session. If your question was not addressed during the Q&A session, please contact NetSol Investor Relations team by emailing them investors@netsoltech.com or by calling them at 949-574-3860. I'd now like to turn the call back over to Najeeb Ghauri for his closing remarks.
Najeeb Ghauri: Thank you, everyone for joining us today. I especially want to thank our investors for their continued support, our loyal customers and our dedicated employees for their ongoing operations. We look forward to updating you on our next call for the year end fiscal 2021. Thank you, operator.
Operator: Thank you for joining us today for NetSol's fiscal third quarter 2021 earnings call. you may disconnect.
Najeeb Ghauri: Thank you and have a good day, guys. Good work. Thank you.